Operator: Good day, everyone, and welcome to Gannett’s third quarter 2006 earnings conference call. Today’s call is being recorded. Due to the large number of callers, we will limit you to one question or comment. We greatly appreciate your cooperation and courtesy. Our speakers today are Mr. Craig Dubow, Chairman, President, and CEO; and Ms. Gracia Martore, Executive Vice President and CFO. At this time, I would like to turn the call over to Ms. Martore. Please go ahead, Madam.
Gracia C. Martore: Thanks, and good morning again. Welcome to our call and webcast to review our third quarter results. Hopefully you have had the opportunity to review the press releases from this morning, which also can be found at www.gannett.com. We will keep our comments relatively short this morning in order to allow enough time for questions. With me today are Craig Dubow, Chairman, President, and CEO; and Jeff Heinz, Director of Investor Relations. Craig will begin with an update on some of our strategic initiatives, and then I will follow up with some specific details on the quarter. Craig.
Craig A. Dubow: Thanks, Gracia, and good morning to everyone. The strategic direction that we have had in place now for several months is all about becoming customer-centric, nimble, and innovative. There are several initiatives underway at this time and I would like to update you on them, and we will keep you posted as we move along. I believe these efforts are positioning us quite clearly for the future, as we face a changing competitive landscape. We understand our key franchise is local information delivered how and when the customer wants it. We also know that we must enhance and support our core businesses while growing a robust digital business. These are our key goals, and during the quarter, we made some significant strides moving forward with this plan. On the digital front, we are rolling out Planet Discover, our provider of local search technology, across all of our domestic community newspapers. Linking useful search technology to our local knowledge translates to outstanding opportunities for us, as a more effective local search connects consumers to more and better content and advertisers. Increasing our stakes in CareerBuilder, ShopLocal.com, and Topix.net also solidifies our commitment to the digital space. CareerBuilder in particular has expanded its position in online recruitment and leads the industry in jobs postings, traffic, and revenue. Most recently, we affiliated with revenue science to provide us with behavioral targeting technology for advertising on a national, regional and local basis -- a key element in growing our online advertising. Creating duopolies with the acquisitions of WATL in Atlanta and KTVD in Denver enhances our core, as did the expansion of the California newspapers partnership. These moves helped generate profitable revenue growth while providing valuable local content. We also acquired some interesting niche publications -- the Florida State University’s student newspaper and the Marco Island Sun Times, which speaks to our commitment to make smart deals to support the core and deliver to our readers. We have come to understand innovation is a key to our success and it is taking hold deep into Gannett. Our center for design and innovation is accelerating the best in new ideas brought through for management approval. Nearly 700 ideas have already been submitted and the quality and number of strong ideas that are being generated by employees is impressive and gratifying. Several have been targeted and green-lighted for further development. We will have more about this later in the year. This innovative mindset is not limited to the design center. Our focus on the customer, being truly customer-centric, is changing the way we think throughout Gannett. We recognize the need to be more audience-based in everything we do and that we need to reach out to new potential customers, especially advertisers. Pilot programs are demonstrating that we can gather more and better local content and package it effectively, attracting larger audiences. Our audience aggregation efforts have had all the hallmarks of this customer-centric focus. We are developing a variety of products that deliver consumers to advertisers, creating that very partnership. The result has been better core products as well as better digital products and positive monetization of these efforts. Although our results this quarter reflect a challenging advertising market, we are quickly putting into place the strategy that will position us for success in this ever-changing environment. As we build our digital business and enhance our core assets, we are becoming the desired source of information for more people in our communities. More than anyone else, Gannett is positioned to deliver the right content to the right audience in newer and better ways. We will continue to take advantage of our position in the communities we serve to do our best for our customers, and we believe that we will drive our growth in the future. Now, turning to our shorter term results for the quarter. As you saw in our release this morning, Gannett earned $1.11 per diluted share this quarter, including about $0.03 for stock-based compensation expense. Overall, our reported operating revenues for the quarter totaled over $1.9 billion. Operating cash flow was about $524 million in the quarter, driven by a 28% increase in operating cash flow on our broadcasting segment, compared with last year’s third quarter. These results reflect very challenging advertising environments that softened as the quarter progressed. Geographic divergence continued with revenues in the west and south, outpacing other regions of the country. On a pro forma basis, newspaper advertising revenues for the quarter were down a little over 1%, although local advertising was up almost 1%. In classifieds, the trends we experienced at the beginning of the quarter continued through September. Real estate was positive, while employment and automotive remain negative. National was down due in part to community newspapers in the south which could not overcome the level of national advertising related to hurricanes in September of 2005. USA Today ad revenues were up as they experienced strong growth in some important categories in the quarter. Gracia will talk more about this in just a moment. In the U.K., the tough advertising market continued in the third quarter, although we saw a slowing of revenue declines in the critical categories of auto and employment in September. Real estate continues to be positive and in all, our results benefit from a favorable exchange rate for the quarter. Broadcast delivered the ratings that helped drive significant increases in our politically related advertising and resulted in double-digit revenue growth. We expect the political season to be robust in the fourth quarter, with a number of critical elections in our markets. Audience aggregation is and will continue to be a focus in all of our markets. A key element of that, providing multiple products in a marketplace to attract various audiences, is paying off. Revenue from our local non-daily products, which does not include the Army Times, Nursing Spectrum, or Clipper magazine, was a source of growth again this quarter. Again, this works to enhance our core. Growing our digital business quickly and profitably, which is the other prong of our strategy, is reflected in a 25% growth rate for online revenues company-wide for the quarter. Online revenue at domestic community newspapers was up about 21%, and Newsquest, it was up about 38%. Online and broadcasting jumped 48%, and USAToday.com was up 24%. Our latest monthly numbers for September show our domestic websites had about 24 million unique users and reached over 15% of the Internet audience. In the U.K., Newsquest’s online audience totaled 3.6 million unique visitors, with 51 million page impressions. Again, pointing to the strengthening of our digital business, we continue to see robust growth from CareerBuilder, with CareerBuilder network revenue up 29% compared with the third quarter of 2005. Traffic for the network increased 22% and averaged approximately 22 million for the third quarter. We are enthusiastic about the progress we are making in many of our strategic initiatives and we are moving quickly to further position Gannett for the future. With that, let me turn the call over to Gracia.
Gracia C. Martore: Thanks, Craig. Before we go into detail on our quarterly results, I am obliged to tell you that our conference call and webcast today may include forward-looking statements and our actual results may differ. Factors that might cause them to differ our outlined in our SEC filings. This presentation will also include certain non-GAAP financial measures, and we have provided a reconciliation of those measures for the most directly comparable GAAP measures in the press release and on the investor relations portion of our website. Moving to the quarter, a number of items had an impact on our results. Strong demand for election and issue related advertising, as Craig mentioned, and the acquisition of two television stations had a positive impact on our broadcasting segment. The full consolidation of 100% of Detroit’s results affected both revenues and expenses, and also the margin for the newspaper segment, although to a lesser degree than past quarters. The reorganization of the Texas - New Mexico newspapers’ partnership with Media News Group had an impact on our non-operating items. Our percentage of the net results of the partnership is now included in other operating revenues, rather than fully consolidated in the financials, similar to our investment in the California newspapers partnership. Comparisons of this quarter’s results to 2005 again were impacted by stock compensation expense of $10.3 million this year that was not recorded last year. Now, let’s get into the details a little bit more. Reported newspaper ad revenues were up slightly, as Craig indicated. Assuming we own the same newspapers in both years, total advertising revenues in the newspaper segment decreased a little more than 1%. Pro forma advertising revenue at our domestic newspapers also declined 1%, and ad demand at our U.K. operation continued to lag, though not as significantly as the first and second quarters. At the category level, there was some deceleration for our domestic properties, while in the U.K., revenue declined in Newsquest’s classified category slowed on a constant currency basis. Some of the softness in the U.S. reflected concerns about things like the spike in oil prices during the summer months, as well as some retrenchment in the housing market due to higher interest rates. Both of these factors have moderated considerably, so we will just have to see where that takes us over the next several months. Classified advertising company wide, and for our domestic properties, declined about 2% for the quarter. Real estate was positive for the quarter, while employment and auto continued soft. Real estate advertising for the entire company was up over 8%. Our U.S. community newspaper results were better than the U.K., increasing about 9%, driven by continued strength in the south and far west in this category. Employment advertising for the company as a whole and for the U.S. community newspapers both declined about 6%. Our domestic community newspapers experienced a decline in automotive of roughly 10%, reflecting in part easing comparisons. Results for this quarter improved from declines of about 14% and 13% respectively from the first and second quarters of this year. Company wide, auto was down about 9.5%. In the U.K., declines in auto slowed considerably in September, relative to July and August. Looking at local advertising, pro forma in our newspapers, it was up almost 1%. Across all products -- health, restaurant, home improvement were positive, while the department store, furniture, consumer electronics and other category lagged compared to the third quarter of last year. As we projected last year, we are seeing the impact of the Federated-May merger, but what is being partially offset by increased spending from some other retailers and increased focus on our smaller customers and non-customers. National advertising was down over 3% for the quarter, due in part as Craig mentioned to the absence of hurricane related advertising in the south in September of last year. Gains in telecommunications, retail, home and building, real estate and pharmaceutical at USA Today were partially offset by a little bit of softness in automotive, package goods, classified, and advocacy. In the U.K. for a moment, revenues from Newsquest, in pounds, were down 5%. Newsquest’s operating profit, again in pounds and including the cost of staff reductions, was 13% lower. The U.K. ad market remains challenging, however we are seeing indication that the worst of the declines are ending and some of the tougher comparisons have been cycled. While revenues are still down year over year for Newsquest categories that have been hit the hardest -- auto and employment -- a number of properties had revenue in September that was flat relative to the year before. Newsquest revenues and NIBT declines during the third quarter improved compared with both the first and second quarters of this year. As always, our team in the U.K. has kept things very tight on the cost side. Significant expense savings have been achieved by management, primarily through the rationalization of back-office operations. We remain very well-positioned to benefit from the anticipated return to growth. Turning now for a moment to broadcast, which also includes Captivate, pro forma revenues increased about 11% compared with last year, and total revenues on a pro forma basis for our TV stations also were up about 11%. National ad revenue advanced 19% and local was up about 6%. As expected, significantly higher demand related to political advertising and increased online revenue growth drove the growth. The latest pacings for the fourth quarter overall are up in the mid to high, and I would say most were a high-single-digit compared with last year’s fourth quarter. We expect election and issue-related advertising demand to accelerate as we approach November 7th. In fact, pacings for October at the moment are up in the very high-teens. That is what it looks like at the moment, but we will keep you posted via our monthly reports. Now, let’s take a quick look at expenses. The items I said had an impact on revenue obviously also had an impact on expenses as well, and as I have done previously, I want to sort through some of those factors to give you a clearer picture on an apples-to-apples basis. As I mentioned before, stock-based compensation was $10.3 million, about $6.4 million after tax, or $0.03 per share. Roughly $6 million was allocated to the newspaper segment, approximately $1 million to broadcasting, and $3 million was allocated to corporate. Our reported expenses were up a little less than 5%. However, excluding those stock-based compensation expenses, and on a pro forma basis, expenses for the quarter increased just over 1%, and this quarter, we did not have the benefit from changes in certain retiree benefits in the U.S., which was about $7.6 million in the third quarter of last year. In the newspaper segment, there was a 4% increase in reported expenses. However, on a pro forma basis, and that assumes we owned 100% of Detroit and the same complement of properties in the first quarter of ’06 and ’05, and excluding stock compensation expense, newspaper expenses would have been up less than 1%. Reported newsprint expense was up 6.6% in the quarter. Price was up about 11%, offset by about 4% lower usage. If you look at that on a pro forma basis, our newsprint expense was actually up 4.4%, with usage down about 6%. So to put it into perspective, pro forma newspaper segment expenses, excluding stock-based compensation and newsprint expense, would have been up only three-tenths of 1%. In the broadcasting segment, operating costs were up about 11% higher on a reported basis. Again, excluding stock-based compensation and on a pro forma basis, costs were up about 6%, reflecting higher sales costs related to the double-digit revenue advance. Corporate expenses were 16% higher due to stock-based compensation. Excluding that, our corporate expenses would have actually been 3.6% lower. One comment on the tax rate for the quarter. The lower tax rate reflects the favorable settlement of several state tax audits in the quarter, as well as a further refinement of our section 199 manufacturing deduction, now that additional rules have been issued by the IRS. Looking to the fourth quarter, we have several state and federal items, along with the section 199 deduction, that if resolved as we anticipate, would help us sustain that lower rate. Back to newsprint for a moment. As we told you previously, we have longer term price arrangements through the second-half of 2006, covering a substantial amount of our requirement. As the drop in consumption accelerates, supply and demand is shifting in favor of publishers. In recognition of these market realities, producers publicly rolled back an August increase from $40 per metric ton to $20 per metric ton. Despite these lowered expectations, however, implementation has faltered, as producers face strong resistance and it becomes clearer that prices have reached the upper limit. Late last week, a west coast producer began notifying customers of its decision to cancel the price increase completely. Other producers are likely to soon follow this lead. Finally, before we go to questions, let me give you some of the key balance sheet items. Total debt at quarter end stood at $5.5 billion, reflecting the TV acquisitions, the CareerBuilder, Topix and ShopLocal additional investment, the California newspaper partnership buyout, and share repurchases. Cash and marketable securities were $132 million at quarter end. At this point, our all-in cost of debt is 5.4%, with commercial paper at 5.3%. In the quarter, we had capital expenditures of approximately $44 million, and they have totaled $135 million year to date. We now expect cap-ex to be about $225 million for the year, down from the $240 million originally budgeted. With respect to shares outstanding, basic shares at the end of the quarter were 234.3 million and the quarterly average was 235.9 million. We repurchased 2.6 million shares in the third quarter, doubling the amount we repurchased in the second quarter. Let me stop here and we will take your questions now. Tom.
Operator: (Operator Instructions) We will go first to Paul Ginocchio with Deutsche Bank.
Paul Ginocchio - Deutsche Bank: Thanks. Gracia, just wondering about the share buyback. It seems relative to your $1 billion announcement back in I think it was July 25th, it is not actually that active of a buyback. Are you thinking about doing something differently with the cash flow -- higher dividend or anything else? Thanks.
Gracia C. Martore: Paul, as I mentioned, we did double the amount of shares we repurchased this quarter compared to the second quarter. However, with respect to our free cash flow, as I also mentioned, we had a number of acquisitions and additional investments that we completed in the quarter, which obviously used up some of that free cash flow. But I think that you and, as always, last year we increased our dividend by 7%, and I would anticipate that you will see a similar situation this year. I think we continue to have the same focus we have always had on our free cash flow redeployment, which is we will continue to do strong, accretive acquisitions, as we have done this year. We will also look at share repurchases at the same time, if those make sense, and we will also return some value to shareholders through dividends. But at any given point in time, depending on the opportunities, that will determine how we split up the dollars. I would say that there are a few things right now that we are looking at on the acquisition front that we will have to see how those play out.
Paul Ginocchio - Deutsche Bank: I guess, Craig, your focus is in more smaller Internet acquisitions that just don’t seem to be using up the cash flow like historically the traditional media acquisitions have, so does that force you to change your thoughts about dividends?
Craig A. Dubow: No. I think there have been, as you have noted already and we talked about with Planet Discover and a few of the smaller ones, but that is not in any way limiting for us. Certainly by some of the other step-ups that we have done, relative to CareerBuilder, our partnerships in California, et cetera, it has no impact. Again, what we are trying to do is make certain, as Gracia clearly indicated here, that we are looking for very accretive opportunities that would make the most economic sense for us.
Operator: We will take our next question from Lauren Fine with Merrill Lynch.
Lauren Fine - Merrill Lynch: Thank you. A couple of questions. CareerBuilder growth rate seems to have slowed. I am wondering if you could give us a sense if you think that is temporary or if it is what we should expect prospectively. Then, I am wondering if you could comment on just how bad things are in Detroit.
Gracia C. Martore: With regard to the CareerBuilder growth rate, Lauren, I think that Matt Ferguson, in a press release that they issued with regard to job prospects, indicated that if you look at the bureau of labor statistics numbers on job growth, that the numbers had flowed from the first quarter to the third quarter. I think in the first quarter, BLF numbers were something like 176,000, and that had slowed to about 123,000 or so. Do not hold me to the exact numbers. I think that the job sites, as well as our own results, reflect some of that slowing that we saw over the summer, which I think in part reflects some of the uncertainty that folks felt with rates increasing and fuel cost increasing, the uncertainties surrounding the war in Iraq and other factors. I think we are just going to have to see how all of those things play out. Certainly interest rates and fuel prices have moderated, which may make companies a little bit more comfortable going forward on the hiring front, but we will just have to see how that plays out. CareerBuilder will continue to do the great job they have been doing there, and they are the number one site across the board in every metric, so we feel very good about their future prospects, both domestically as well as overseas. I apologize, Lauren, your --
Lauren Fine - Merrill Lynch: Detroit.
Gracia C. Martore: Detroit. Obviously a tough, tough revenue environment in Detroit, but I think that our folks there have been doing a terrific job in terms of dealing with the expense side of the equation and they understand the need that their expense picture keep pace with what is happening on the revenue side. Clearly Detroit is a tough area, but doing a good job on the expense side to moderate that issue.
Lauren Fine - Merrill Lynch: Gracia, given its size, can you give us any sense of how much worse than the overall division results, the top-line, really was? Then, I guess just taking a step back for the whole group, the change in retail momentum, if you can give any more color on that, too.
Gracia C. Martore: Sure. On Detroit, obviously their revenue numbers would have been more similar to what we have been experiencing in all of the auto-based economies, which have been higher declines than the average. I do not have the specific numbers in front of me, but again, we continue to address that on the expense side. As to the retail picture, as I think we mentioned, we had projected that the Federated-May merger would have an impact on our local and retail revenues in this year, probably in the middle of the year. I think we are starting to see that, but clearly some of that is being mitigated by some increased spending by some of the other larger retailers and also the focus we placed on the very, very local advertisers and bringing more non-customers into the fold as part of the audience aggregation efforts and the like that we have been doing. I think you are seeing as we had projected, that the Federated-May merger with the stores now rebranding and all the rest, there is the uncertainty of the spending there and we are beginning to see the impact, or have been seeing it and are seeing it more so right now.
Craig A. Dubow: Lauren, jumping back just for a second to Detroit. I think with the work that Craig Moon and the team are doing there, we are very comfortable. What we need to see, obviously, is some pick-up within the economics in that marketplace, but to date overall, with everything that has been done, we feel very, very comfortable with the direction this is heading. We just need a little economic help.
Lauren Fine - Merrill Lynch: Gracia, one last thing on retail. Anything going on with preprints at all that is unusual, positive or negative? As you look at the fourth quarter, any optimism overall in retail, especially given prices coming down?
Gracia C. Martore: I think on the preprint side, what we have seen over the last several months has been that advertisers have been reducing the number of pages and reducing the number and the sizing of some of the preprints. As we had indicated -- oh, gosh, I guess a couple of years ago when preprint revenue and distribution was rising, that it is impacted by newsprint pricing and as newsprint prices rise, we tend to see a pull-back on the preprint side because they are directly affected by that pretty quickly, whereas ROP it is a little less so. I think there is some combination of factors. I think it is too early for us to predict what the fourth quarter is going to bring. I have seen some mixed reports out on whether this is going to be a particularly merry Christmas or not. With fuel prices moderating, with interest rates moderating, and the jump we saw in mortgage applications at least last week, the consumer could be in a better humor in the fourth quarter than they have been in the summer months when they had a lot of things at play.
Operator: We will go next to Craig Huber with Lehman Brothers.
Craig Huber - Lehman Brothers: Good morning, thank you. Gracia, could you just clarify your tax rate? You said it would probably continue at roughly 31.5% in the fourth quarter. What is your expectation for next year for your tax rate?
Gracia C. Martore: It is probably a little too early for us to have a specific number on that. That is part of the process we go through at the end of the year in projecting outward. I can tell you obviously that the manufacturing deduction, which has benefited us, will continue. We also -- it will also in part be dependent on where Newsquest earnings are, because as you know, we pay a lower statutory rate in the U.K. than we do here in the U.S., so there is a bunch of factors that play into that. We feel good about our ability to sustain that rate, assuming things go our way in the fourth quarter. I think we could see some positive also into the new year, if a variety of factors move our way, but we will give you more color on that in December when we share all of our assumptions.
Craig Huber - Lehman Brothers: Then also, looking at your help wanted, it has weakened for you, obviously, and others as well. Do you have any sense on what labor categories you are seeing the biggest fall-off? Also, could you talk about the regions as well for help wanted? Thank you.
Gracia C. Martore: Yes, Craig, we really do not categorize it by the type of job. I would say that in some of the markets, like the south and the west, where they were very, very hot real estate markets, as we have seen housing permits fall over the last few months, I would suspect that we are probably seeing the impact of that on the job creation side of the equation, as folks are not going out and doing speculative development and the like. So I suspect that is having an impact on things but do not have any better color than that. I assume that the health care side is probably continuing to be strong, but on the manufacturing side, I think we are probably seeing some caution on the hiring side and obviously in the Midwest, where we have the auto base, the domestic auto-based economy, clearly those economies continue to suffer from the layoffs that are continuing to be announced in Detroit.
Craig Huber - Lehman Brothers: Just real quick, I assume there is still a change in control provision with CareerBuilder. I am just asking given the Tribune situation. Thank you.
Gracia C. Martore: Let me just comment on that, and obviously we would never speak to what is going on at Tribune, but just so you are aware, in the new agreement, in the event of a sale or a change of control, the agreement includes the fact that the economic interest of Tribune would remain with any buyer. We would not have, therefore, the ability to purchase that interest. However, it also provides, under certain circumstances, for some substantial operational control to be shifted to us in terms of things like board representation and voting arrangement, depending on what would happen either to us or Tribune or whatever.
Craig Huber - Lehman Brothers: Thank you.
Operator: We will go next to Alexia Quadrani with Bear Stearns.
Alexia Quadrani - Bear, Stearns & Co.: Thank you. A couple of questions. First, Craig, just following up on your acquisition comments earlier. Do you feel your focus has changed a bit from perhaps a year ago, given the ongoing challenges in traditional media, and I guess given your -- would it be fair to say that you are more focused on the digital space, given your recent investments and you are less likely to make a significant investment in the newspaper area at this point? Then, the second question is just following up on Newsquest. How much of the weakness there do you really think is reflective of the weaker economic environment versus possible share shift to other media? I guess put another way, in a more stabilized, normalized economic environment, what is your growth anticipations for the Newsquest properties?
Craig A. Dubow: First, I would just say from a couple of the traditional investments that we have certainly participated in this year in Denver and Atlanta, we in the traditional side still feel absolutely enthusiastic about larger market duopolies and what that can mean to us. I think with what we have proven out in Jacksonville and certainly with the expectation now of Denver and Atlanta, that will continue. We see that as a good opportunity. I think as well, as we had demonstrated with our step up in the California partnership this year, that the core, depending on what the economics are and if we believe we can make real sense out of it, we will continue to pursue it in every way. Obviously we are taking very, very hard looks on the digital side. We think, from what we have created with our partners with CareerBuilder, we have tremendous opportunity here. Certainly how that lines up as we go forward is something that we are paying extreme attention to, but there are no restrictions that we have relative to how we would pursue an investment. The key is how it will fit with the rest of the portfolio, will it contribute in the ways as obviously we want and have traditionally done for the kinds of growth that we are looking toward? Beyond that, we are not going to restrict it but we are looking again at everything that would make good economic sense. Gracia, do you want to talk on Newsquest?
Gracia C. Martore: Sure. On Newsquest, I think there is a combination of factors at play there. Number one, I think clearly in part it is the consumer economy there that has been somewhat constrained over the last year or so, but I also think there is some consolidation that has gone on in the automobile dealership arena, similar to some of the consolidation that has gone on in this country, only they have experienced it later. So I think clearly that has had an impact on the automotive side. On the employment side, the government, which has always been a sizable factor on the employment side, their hiring has slowed considerably. I think you have a variety of factors at play in the U.K., which has impacted their results. With regard to share shift, clearly I think there are some dollars obviously that have flowed out into the Internet space. We happen to have a significant ownership stake in fish4, which is the beneficiary of some of those dollars, and so we are very pleased with that investment and have seen some good growth there, but I think that is probably, as is the case here, is more prevalent in the national side of it and in the larger urban markets, rather than in some of the smaller regional areas of the country.
Alexia Quadrani - Bear, Stearns & Co.: Do you think you might be able to see positive revenue growth in a healthier economic environment in those properties?
Gracia C. Martore: In a healthier economic environment, absolutely. Absolutely.
Craig A. Dubow: Absolutely. We are -- I have to just comment here. What we have with Paul Davidson and his group, they are so well-positioned at this point. I think you can see that through the expense management that they have done over the course of the last year. If we get a slight up-tick, you will see that conversion rapidly.
Operator: We will go next to Christa Sober Quarles with Thomas Weisel Partners.
Christa Sober Quarles - Thomas Weisel Partners: One follow-up on CareerBuilder. I was wondering if you could just indicate whether or not 100% of their revenues are career related, whether they have other advertising in the mix there or not. Then, just on your -- I think you said your own online revenues were up 25%. I was just wondering if you could indicate what help wanted was up within that. Thanks.
Gracia C. Martore: With regard to CareerBuilder, if you are speaking to other verticals, no. Recruitment and jobseekers would be the thrust of that entire business. Classifieds, that interest would have the other verticals that we are involved with.
Christa Sober Quarles - Thomas Weisel Partners: I was actually just referring to other, just general advertising on the site in general, if you classify that strictly as career related or as --
Gracia C. Martore: My sense is, and I will go back and look at this, but my sense is that it is pretty much all career related. If there is anything else, it is as small a piece of the pie as can be imagined.
Christa Sober Quarles - Thomas Weisel Partners: Okay, and then on your own --
Gracia C. Martore: On our own Internet revenues?
Christa Sober Quarles - Thomas Weisel Partners: Yes, within that help wanted.
Gracia C. Martore: Yes, I think we mentioned that they were down 6%.
Christa Sober Quarles - Thomas Weisel Partners: Just online, sorry.
Gracia C. Martore: Oh, online, no, our online revenues were not down in the employment sector. They were up again.
Christa Sober Quarles - Thomas Weisel Partners: Were they up in the range of your overall online, which would be that 25% I think that you gave?
Gracia C. Martore: I am going to have to probably get back to you on that. Let me see if I have something here that -- actually, they were up but a smaller percentage. It was a double-digit percentage in the quarter, but not obviously the 25% that we alluded to, at least in our domestic newspaper operations. I simply do not have the breakdown for the U.K., although obviously their revenue growth on the online side outstripped the fact that they had a decline in revenues on the purely print side.
Operator: We will go next to Debra Schwartz, Credit Suisse First Boston.
Debra Schwartz - Credit Suisse First Boston: Thank you. I was wondering on broadcast, can you comment if you have seen any change in pacings since NBC launched their fall schedule? Then, could you also quantify how much political was in the quarter?
Craig A. Dubow: Sure. First of all, reflective to NBC, I think you are beginning to see some nice up-tick, specifically with the Sunday Night Football that has been added. It has gotten off to an extremely positive start. Some of their other new programming as well has done quite nicely. With respect to political, we have been seeing through third quarter quite a bit of increase. Lots and lots is coming in on the issue side, a lot of party money, specifically from Democratic as well as the Republican side. The markets that we are really seeing it in most recently would be in Cleveland, Denver, Phoenix, and in Tampa, where the biggest increases have come. We are anticipating at this point that will significantly improve itself further as we approach obviously November 7, but we are looking for a very robust 4Q on that.
Debra Schwartz - Credit Suisse First Boston: Thank you. I was just wondering if I could ask a quick question on newsprint. I think it was last quarter, Gracia, I think you mentioned you were going to start to look to China for newsprint. I was wondering, could you just update us on your thinking there? It seems like pricing in U.S. has sort of stabilized. Do you still need to look to China?
Gracia C. Martore: We actually have, as I think I mentioned, tried and piloted some newsprint in several of our newspapers and have done so quite successfully. The quality is very good, reflecting the new mills that they have there. I think that we will see trickles of it but I think the main thrust of it will be coming in the -- beginning in the first quarter of next year. We should see some good amount of volume coming in from China starting at the beginning of the year, but we are very pleased with what we trialed and we anticipate that we will be a buyer.
Debra Schwartz - Credit Suisse First Boston: About how much of your newsprint do you expect to get from China?
Gracia C. Martore: I would not want to speculate on that at the moment.
Debra Schwartz - Credit Suisse First Boston: Thank you.
Operator: We will go next to Lisa Monaco with Morgan Stanley.
Lisa Monaco - Morgan Stanley : Is it possible to get, by month, the ad revenue performance for the domestic community newspaper group in the quarter, and then the U.K. by month in the quarter?
Gracia C. Martore: Sure, what I will do is I will have Jeff give you a call after the call and he can give you those numbers.
Lisa Monaco - Morgan Stanley : Okay, and then just unrelated, what was the thinking behind the change in the cap-ex guidance, and is it possible for you to quantify what percentage of your advertising comes from Federated and May? Thank you.
Gracia C. Martore: With regard to the cap-ex guidance, it is simply that we set a budget and then, as the year progresses, we take a look at the projects again to make sure that the returns that were indicated initially actually come to fruition as we start to look at the project. As is typical, some projects tend to fall out or get deferred because certain contracts are not necessarily negotiated or the rest, or we simply just re-look at a project and decide that it is not the right time to do that. I think a little bit of that will slip into next year, but most of it is just projects that did not live up to the ROIs that we had hoped that we could obtain from the project, and therefore we passed on them.
Lisa Monaco - Morgan Stanley : Do you think that is a good number going forward for normalizing cap-ex?
Gracia C. Martore: I think that we have completed a press project in Binghamton this year that consolidated three newspaper printing operations up there, so I think you could expect to see, we have not finalized a number yet, but you could expect to see that cap-ex will drop a little bit further next year, but we will again give you that final number in December.
Lisa Monaco - Morgan Stanley : Then just quickly on Federated?
Gracia C. Martore: On Federated, I will have to get back to you on that. We will have Jeff give you a call and also share that with all the other participants on the call.
Operator: We will go next to Brian Shipman with UBS.
Brian Shipman - UBS Warburg: Thanks, good morning. I was wondering if you could give us a little extra color on how October is shaping up on the newspaper side. You mentioned some data points in broadcasting. I just wanted to see if you could talk about newspapers as well.
Gracia C. Martore: You know, it is really early, obviously, in the quarter. I can say that from the weekly notes we get on USA Today, I think they are anticipating a positive quarter in the fourth quarter, so they are feeling pretty good about their ability to generate advertising throughout the fourth quarter. On the Newsquest side, probably again a little easier comparison for them, but thus far in the couple of weeks that we have seen, so far their expectations that they had coming into the quarter have been exceeded a little bit each week but again, it is a long way until the end of the year. On the domestic side, we just do not have any really good early indicators yet of how the quarter is shaping up, so we will obviously keep you guys posted in the monthly revenue and stat reports that we send out, but that is kind of what we are seeing, only about 11 days into the quarter.
Operator: We will go next to Steven Barlow with Prudential Equity Group.
Steven Barlow - Prudential Equity Group: Back to newsprint for a second. Are you willing to share what the price differential with Chinese paper would be from the U.S.?
Gracia C. Martore: I am afraid not, but I would say that it is favorable compared to the U.S.
Steven Barlow - Prudential Equity Group: Fair enough. Then, on the combination of Tex-Mex and Detroit, is there any way to give us sort of an EPS impact from this quarter versus a year ago and how that is trending and where it might trend for the fourth quarter?
Gracia C. Martore: On the Tex-Mex side, I think that they are doing reasonably well, so I think that they are a little bit of a positive. On the Detroit side, obviously as we have said, they are struggling a bit, but to just break out what the EPS impact would be difficult for us to do at this point. Just to refresh your memory, you will see the impact of Tex-Mex for the full quarter in the fourth quarter. It will still have that slight distortion, but in Detroit, we have now cycled Detroit as of August 1st, so in the fourth quarter, we will be apples-to-apples on that.
Steven Barlow - Prudential Equity Group: Lastly, is there any prediction on what quarter the U.K. is going to turn around? We are seeing, obviously it looks like it is stabilizing.
Gracia C. Martore: Unfortunately, businesses do not necessarily fall into specific quarters, so we will just have to keep watching the numbers but I think you will see in the fourth quarter,1 hopefully better numbers than we saw in the third quarter and the second. I do not want to predict at this time because we are just in the midst of our budgeting process and I would like those folks over there to give us all the good news beforehand.
Craig A. Dubow: The only thing to add from a category standpoint would be in the housing area. As we had talked about in previous conferences, the northeast had just been slightly up and what we are seeing is that expand a bit into the south of London, in that area. As Gracia said, it is not much at this point, but obviously keeping a close eye and we will be over there shortly going through the budget process. We will have a better handle on it here very shortly.
Operator: Our next question comes from John Janedis with Wachovia.
John Janedis - Wachovia Securities: Thank you. Can you give us your thoughts at USAToday.com as it relates to display advertising and rates? I guess I would ask, what have been your typical rate increases and, as others offer similar rates, is there a potential for CPM increases to flatten over time? Then, do you think you may be losing some share to Monster on the help wanted front? Thank you.
Gracia C. Martore: It is a little bit difficult for us to project out what is going to happen with CPMs. I think we continue to see very good growth at USAToday.com. They just had a very strong quarter for us, and it is really difficult for us to project out where the CPM side of it would be. We are anticipating that USAToday.com, that they are going to have another strong quarter in the next quarter, but a little difficult for us to at this point speculate on that.
John Janedis - Wachovia Securities: Historically, has it been double-digits?
Gracia C. Martore: In terms of?
John Janedis - Wachovia Securities: CPM growth at USAToday.com?
Gracia C. Martore: You know, historically that is a little difficult to say because pre the dotcom meltdown, the numbers were roaring, and you could charge any price pretty much that the market would bear. The dotcom meltdown came and obviously they were impacted terrifically by the national side of things, but now we have built that back up. So it is a little hard to say, but we will try to get a little bit more color on that if we can and get back to you.
John Janedis - Wachovia Securities: Okay, thanks, and anything on the Monster, in terms of CareerBuilder? Do you think it is just a slowdown or do you think you may be losing share?
Gracia C. Martore: No, if anything, we are increasing share against the number two job site. We feel very good about where CareerBuilder is headed. They are a clear number one, and it is not that we are losing market share in any way, shape, or form. In fact, if anything, we believe that we are continuing to pick up market share here in North America. You have to be careful of comparing apples to apples. They are North America to North America.
John Janedis - Wachovia Securities: Sure. All right, thank you very much.
Operator: We will go next to Dave Lewis with JP Morgan.
Fred Searby - J.P. Morgan: Actually, it is Fred Searby from JP Morgan, thank you. Just one quick question -- can you give us just some color around the auto on the broadcast side? It has been a challenging category, and retail as well, if you look at that, both in the prior quarter and in the pacings, how that is doing, given the headwinds the sector is facing overall. Thank you.
Craig A. Dubow: I would say the domestics at this point, from a pacing standpoint, I think obviously are facing a greater challenge. Frankly, they on the broadcast side have done quite well from the foreign side, particularly in the Toyota and Honda area. They have done very well. From a retail perspective, it has been moving up and down. Still there is no clear indication as we are going into the pre of the holiday season here, exactly where things are. I think it is still a bit too early. We would certainly hope that there would be some improvement from what we are seeing but again, it is a bit early to comment.
Gracia C. Martore: Auto is pacing positive in the fourth quarter at this point.
Fred Searby - J.P. Morgan: Thank you.
Gracia C. Martore: Thank you. I think we have time for one more question. I think our friends at Media General are on at 11:00.
Operator: All right, and we will take a question from Peter Salkowski with Goldman Sachs.
Peter Salkowski - Goldman Sachs: Good morning, everyone. Just a quick question on the classified side with regard to real estate. I notice in the quarter that the year-over-year growth rates slowed quite dramatically as the quarter progressed. I am wondering if, obviously that is a function of several years of robust growth there. Just wondering a couple things -- if you believe this trend is going to continue and we will see negative numbers kind of coming into the first quarter of ’07, and also wondering, with regard to online revenue there, what percentage of your online revenue, or how much online revenue are you seeing from real estate classified advertising?
Gracia C. Martore: I think it is probably a little too early to be predicting negative numbers on real estate. We were up a nice percentage again and, as you said, that is on top of pretty good growth that we have experienced over the last couple of years. I think some of the softening reflects the fact that in some parts of the country, as I mentioned earlier, particularly on the new home side and the developer side, with housing permits down and fewer housing starts, that we are seeing a little bit of softness there. But at the same time, on the resale market, with the inventory of houses higher and the time on the market higher, we are still continuing to see good follow-through there. I am not sure that I would necessarily subscribe to the thought that we will see negative real estate numbers in the first quarter, unless interest rates were to back up considerably. Obviously that could have an impact, but we are not projecting at this point negative real estate in the first quarter. On the online side, with regard to real estate in the U.S., it is a piece of the pie, maybe in the 8% or 9% range but it is not obviously as significant as employment or actually some of our local online revenues.
Peter Salkowski - Goldman Sachs: Do you have any sort of focus to grow that, because I would think that is the next category to sort of go online.
Gracia C. Martore: Real estate?
Peter Salkowski - Goldman Sachs: Yes.
Gracia C. Martore: Yes, well, obviously through our ownership in Classified Ventures, that is an area of significant focus for them as well as us, and we will continue to look to do the right thing, vis-à-vis the real estate side of it, but we have to be careful that we do not interpret some of the slowdown on the new homes building as working into the online side of the business necessarily.
Peter Salkowski - Goldman Sachs: One quick last question on newsprint, in terms of year-over-year growth rates on the price increases, do you expect some time in ’07 that we will start to see a flattening? I think your prices were up in the third quarter here, probably up a little bit in the fourth quarter.
Gracia C. Martore: Yes, I think I -- we would hope that given what we have now seen vis-à-vis the August price increase, there is obviously carry-thru of the earlier year price increases that they were able to put through at the reduced levels, and so we will have to cycle those over the first couple of quarters, but that is clearly a possibility.
Peter Salkowski - Goldman Sachs: Great. Thank you very much.
Gracia C. Martore: Thanks very much. Tom.
Operator: This does conclude our conference call for today. We appreciate your participation. You may disconnect at this time.
Gracia C. Martore: Thanks very much and have a great day.
Craig A. Dubow: Thank you.